Presentation:
Operator: Good afternoon and thank you for standing by. Welcome to Western Digital’s fourth quarter financial results for fiscal year 2015. Presently all participants are in a listen-only mode. Later we will conduct a question and answer session [Operator Instructions]. As a reminder, this call is being recorded. Now I will turn the call over to Mr. Bob Blair. Sir, you may begin.
Robert Blair: Thank you, as we being I would like to mention that we’ll be making forward-looking statements in our comments in response to your questions concerning, among others, our product and technology positioning. Customer acceptance of our SaaS SSD products our outlook for enterprise and SSD businesses, data growth and its drivers enterprise storage and our ability to address this space. Our non-PC business in the PC market demand and our ability to respond the demand changes. China's Ministry of Commerce matters, optimizing our business, anticipating contribution from our new businesses than our financial performance including our financial results, expectations for the September quarter and earnings expectations for the second half of fiscal 2016. These forward-looking statements are based on management’s current expectations and are subject to risks and uncertainties that could cause actual results to differ materially including those listed in our quarterly report on Form 10-Q filed with the SEC on May 12th, 2015. We undertake no obligation to update our forward-looking statements to reflect new information or events. In addition, references will be made during this call to non-GAAP financial measures. Reconciliations of the differences between the non-GAAP measures we provide during this call the comparable GAAP financial measures are included in the quarterly fact sheet that we have posted on our Investor Relations section of our website. We ask that participants limit their comments to a single question and one follow-up question. I also want to note that copies of remarks of today’s commentary by our Chief Executive Officer and CFO will be available on the investor section of our website immediately following the conclusion of this call. I’ll now turn the call over to President and Chief Executive Officer, Steve Milligan.
Steve Milligan: Good afternoon and thank you for joining us. After my opening remarks, Olivier Leonetti will provide additional commentary on our June quarter performance and our outlook for the September quarter. Demand for our fourth fiscal quarter was lower than expected given a week PC market. In that context I am satisfied with our performance. We reported revenues of $3.2 billion non-GAAP gross margin of 29.8% and diluted earnings per share of $1.51. Our storage shipments for the June quarter were 56 exabytes up 2% year-over-year. Our results reflect strong product and technology positioning coupled with solid execution. Our enterprise SSD revenue more than doubled year-over-year to $244 million demonstrating the continued success and broadening customer acceptance of our leading SaaS SSD products. We expanded our footprint in the enterprise SSD space with the initial ramp of our new UltraStar PCIe NVMe offering. It is been qualified with several leading customers and we expect revenue from this product to increase throughout fiscal 2016. We saw strong demand for our high-capacity helium and 15K RPM 2.5 inch performance hard drives. Revenue from our video surveillance hard drives continued its rapid growth as we expanded our lineup of these purpose filed solutions. And we continue to see positive market reaction to the value proposition of our new active archive system. Our view of persistent data growth remains intact driven by mobility and the cloud. The outlook for enterprise storage business remains healthy and we believe we are well position to address this growing market space. Regarding PC market demand we believe it is prudent to remain cautious in the near term given the timing of the Windows 10 and Skylake launches. That being said we are seeing early signs of market stabilization. Leading us to believe that PC market demand could pick up towards the end of this calendar year. On more stable PC market demand environment coupled with continued strength in our enterprise business provides the opportunity for improving financial performance as we move through the fiscal year. In the mean time we will continue to be discipline to the management of our business while being ready to address unanticipated upside if it materializes. I would like to comment on the status of our discussions with China's Ministry of Commerce. Since our last earnings we believe we have made meaningful progress. We have met with MOFCOM several times to discuss their review process and a potential time table for them to complete their work. We have submitted a comprehensive report on the current market which we believe shows that the storage eco-system has evolved significantly in the last three years and that lifting the hold separate restriction will enhance competition, increase innovation and benefit customers. We have also met with several other stakeholders in China and shared our view on the benefits of lifting the hold separate. Based on our conversations with MOFCOM we believe that they are working steadily on several fronts and we are hopeful that they can conclude their evaluation of our application to lift the hol separate in the near future. Olivier will now provide a summary of our June quarter performance and our outlook.
Olivier Leonetti: Thank you Steve. Our revenue for the June quarter was $3.2 billion. We shipped a total of 48.5 million hard drives at an average selling price of $60. Our non-GAAP gross margin was 29.8% and operating expenses totaled $560 million. Tax expense for the June quarter was $27 million or 7% of non-GAAP pre-tax income. On a non-GAAP basis net income of $356 million or $1.51 per share. In the June quarter we generated $488 million in cash from operation and our free cash flow totaled $332 million. Our CapEx totaled $156 million of 5% of revenue we repurchased 2 million shares for $198 million. We also declared a dividend in the amount of $0.50 per share. We closed year end with total cash and cash equivalent of $5 billion of which approximately $700 million was held in the U.S. I will now provide our guidance for the September quarter. We expect revenue to be in the range of $3.2 billion to $3.3 billion, excluding the amortization of intangibles we expect gross margin percentage to be roughly flat with our June quarter. Operating expenses of approximately $575 million and accordingly we estimate non-GAAP earnings per share between $1.50 and $1.60. Operator we are now ready attend the call for questions.
Operator: And our first question is from Kathryn Huberty with Morgan Stanley.
Kathryn Huberty:
Olivier Leonetti:
Kathryn Huberty:
Olivier Leonetti:
Operator: And the next question is from Aaron Rakers with Stifel. Your line is open.
Aaron Rakers:
Olivier Leonetti:
Steve Milligan:
Aaron Rakers:
Steve Milligan:
Olivier Leonetti:
Operator: And the next question is from Joseph Wittine with Longbow Research. Your line is open.
Joseph Wittine:
Steve Milligan:
Joseph Wittine:
Steve Milligan:
Operator: And the next question is from Rich Kugele with Needham and Company. Your line is open.
Rich Kugele:
Steve Milligan:
Rich Kugele:
Steve Milligan:
Operator: And the next question is from Ananda Baruah from Brean Capital. Your line is open.
Ananda Baruah:
Olivier Leonetti:
Ananda Baruah:
Olivier Leonetti:
Operator: The next question is from Sherri Scribner with Deutsche Bank. Your line is open.
Sherri Scribner:
Steve Milligan:
Sherri Scribner:
Steve Milligan:
Operator: Next question is from Wamsi Mohan of Bank of America. Your line is open.
Wamsi Mohan:
Steve Milligan:
Wamsi Mohan:
Steve Milligan:
Operator: The next question is from Steven Fox from Cross Research. Your line is open.
Steven Fox:
Steve Milligan:
Steven Fox:
Steve Milligan:
Operator: And the next question is from Christian Schwab, Craig-Hallum Capital Group. Your line is open.
Christian Schwab:
Steve Milligan:
Christian Schwab:
Steve Milligan:
Christian Schwab:
Olivier Leonetti:
Christian Schwab:
Steve Milligan:
Operator: The next question is from Keith Bachman from Bank of Montreal. Your line is open.
Keith Bachman:
Olivier Leonetti:
Keith Bachman:
Olivier Leonetti:
Keith Bachman:
Steve Milligan:
Keith Bachman:
Operator: The next question is from Monika Garg from Pacific Crest Securities. Your line is open.
Monika Garg:
Olivier Leonetti:
Monika Garg:
Steve Milligan:
Operator: The next question is from Bill Shope, Goldman Sachs. Your line is open.
Bill Shope:
Steve Milligan:
Bill Shope:
Olivier Leonetti:
Operator: The next question is from Joe Yoo with Citi Group. Your line is open.
Joe Yoo:
Steve Milligan:
Joe Yoo:
Steve Milligan:
Joe Yoo:
Steve Milligan:
Steve Milligan: Thank again for joining us today. In closing I want to thank all of our employees and suppliers for their commitment and outstanding execution and our customers for their continued business. Thank you so much.
Operator: Thank you for your participation on today's conference. All parties may now disconnect.